Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Weatherford International Fourth Quarter and Full Year 2023 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] As a reminder, this event is being recorded. I would now like to turn the conference over to Mohammed Topiwala, Vice President, Investor Relations and M&A. Sir, you may begin.
Mohammed Topiwala: Welcome everyone to the Weatherford International fourth quarter and full year 2023 conference call. I am joined today by Girish Saligram, President and CEO and Arun Mitra, Executive Vice President and CFO. We will start today with our prepared remarks and then open it up for questions. You may download a copy of the presentation slides corresponding to today’s call from our website’s Investor Relations section. I want to remind everyone that some of today’s comments include forward-looking statements. These statements are subject to many risks and uncertainties that could cause our actual results to differ materially from any expectation expressed herein. Please refer to our latest Securities and Exchange Commission filings for risk factors and cautions regarding forward-looking statements. Our comments today also include non-GAAP financial measures. The underlying details and a reconciliation of GAAP to non-GAAP financial measures are included in our fourth quarter earnings press release, which can be found on our website. As a reminder, today’s call is being webcast and a recorded version, will be available on our website’s Investor Relations section following the conclusion of this call. With that, I’d like to turn the call over to Girish.
Girish Saligram: Thanks, Mohammed, and thank you all for joining the call. We are changing the format of our prepared remarks a bit. I will provide an overview of our operating performance, view on the markets, specifics on the transaction announcements, and our priorities heading into 2024. Arun will then cover the detailed financial results and specifics on guidance before opening for Q&A. 2023 was an outstanding year for Weatherford. Revenue growth of 19%, adjusted EBITDA margins expanding 423 basis points to 23.1%, and adjusted free cash flow of $651 million reflect an accelerated achievement of the short to midterm objectives, we set for ourselves. Our growth has been driven across all segments, with DRE and WCC in the high teens reflecting increased drilling and completions activity. Geographically, our international leverage coupled with share gains and pricing enabled 26% growth. I want to also highlight our North America performance, where we grew margins, despite revenue declining in a weaker market environment. If there was ever a litmus test of the change in the Weatherford operating culture, our North America performance passes it with flying colors. Cost optimization, technology upsell, and business model changes all helped to drive the profitability increase, coupled with our U.S. Gulf of Mexico business, which grew over 25% for the year. Both quarter performance of $1.36 billion in revenue, EBITDA margin improvement of 34 basis points sequentially, and $315 million in adjusted free cash flow was delivered on the back of the enormous passion and commitment of the entire One Weatherford team. It has been a privilege for me to witness what this team is capable of, and there is enormous emotion behind my simple thank you to each of our 18,000 plus team members. Turning to the future, as the events of the past couple of weeks have shown, there is a fair degree of volatility, and concern among the investor community. However, we remain confident in continued activity growth for our products and services, across all segments driven, by international customer investment. We are now in the third year of a long-term upcycle. This upcycle shows clear signs of a longer duration than any time in the past couple of decades. The combination of energy demand, growth in emerging economies, reservoir declines, and lack of sustainable investment over the past decade imply that even to maintain current rates of production, there will need to be continued investment and activity for oil and gas projects, at least through the end of the decade. This outlook is supported by over 100 large projects with investments of over $1 billion each that are on track to reach FID over the next three years. In addition to nearly 700 smaller project FIDs as well. Also, the large majority of these projects, are in countries and regions where Weatherford has invested significantly, and that positions us well, for growth now and in the future. We continue to see the most momentum in our DRE segment with high teens growth in 2024 on top of mid-teens growth in 2023, reflective of our belief in the longevity of the cycle with growth in PRI to follow. In summary, we see a lot of runway for opportunity. Let me start, the geographical view with our North America business, which is actually three distinct pieces. The first in Canada should grow with the market in high single-digits. Our offshore U.S. Gulf of Mexico will remain stable, and we expect to get more operating efficiencies. And finally, the production-oriented U.S. land business, which has approximately 13% of overall revenue in 2023, is expected to remain flat to slightly down. On the international front, there is broad strength in both the onshore and offshore markets. Latin America was our highest growth region in 2023, and we expect to see that growth moderate in 2024, but still expand in the mid to high single-digit range, driven primarily by Brazil and Mexico, but tempered by Argentina and Colombia. In Europe and sub-Saharan Africa, we expect offshore to be the growth driver, enabling mid-teens growth. As previously discussed, Russia continues to be uncertain given the operational complexity, as well as FX volatility. We expect Russia to continue to decline in revenue, and while it is difficult to predict, at this point, we are expecting a double-digit rate. Our growth in 2024 will be spearheaded by the Middle East, North Africa, and Asia border geography, with countries like Saudi Arabia, Kuwait, UAE, Oman, Australia, and Malaysia setting the pace. With high-teens growth expectations for the year in the Middle East, the most significant risk to activity growth, continues to be geopolitical, rather than broader macro themes. Clearly, there has been sector-related concern over the past week with the announcement on capacity expansion plans in Saudi Arabia. From all of our analysis, insight, and discussions thus far, we expect that this will have a negligible impact on our projections. Our position in Saudi Arabia, is mostly onshore, and while offshore represents a tangible opportunity, it is not one that we have factored in significantly into our multi-year outlook. The Kingdom is a critical region for us, but does not meet the 10% of revenue threshold to be reported on separately. We have clear line of sight to activity growth in the next few years that, we are excited about and fully committed, to supporting Aramco with our differentiated technology and services. To summarize, we see strong activity growth for the next several years, and provide a platform for continued revenue growth. We will also look to invest in CapEx and net working capital to support that growth. Simultaneously, our focus on margin expansion and cash flow conversion, will not be dulled. We laid out our next target of 25% EBITDA margins, and are well on track to achieve that in 2025. In 2024, we will make meaningful progress towards that ambition, and don’t see that goal as the defining limit for the company. We have expanded margins every single quarter since the first quarter of 2022. That’s eight consecutive quarters of margin expansion, and we remain fully committed to the conversion of those margins to cash, as the primary driver of shareholder value creation. As we see market growth continuing, we are also looking at ways to accelerate further. Inorganic growth enables that, and we are excited about the acquisitions we have closed. While small, relative to the size of the company, these are the first acquisitions for Weatherford in a while, and we are committed, to a totally different integration paradigm than in the past. Our criteria for selection includes strategic fit, followed by margin accretion, positive cash flows, being deleveraging in nature, and fitting within our market valuation envelope. We have acquired two technology companies in the wireline space from Turnbridge Capital, Probe and Impact Selector International, both widely recognized brands, and Ardyne, a leader in well-decommissioning technology, with whom we have had a partnership since the fourth quarter of 2022. We were meticulous in our approach, to diligence and integration planning, as both are critical pillars, to ensure we achieve the full potential of these transactions in the coming years. Again, these are small, but will be accretive immediately, and projections for them will be included in the overall guidance Ardyne provides. I also want to point out that agreeing to payment for two of these acquisitions, primarily in equity, reflects a strong belief from others in the potential for upward mobility in the stock. Turning to our commercial and technology highlights. As in previous quarters, we received several noteworthy commercial awards across all our segments from various customers, like Qatar Energy, ENI, Exxon, and PTTEP. In addition, we continue to demonstrate the strength of our portfolio with several significant technology highlights with major customers. The details of these are highlighted in our press release for earnings and investor deck. Our five strategic priorities of organizational vitality, creating the future, customer experience, lean operations, and financial performance remain unchanged for 2024. The initiatives, metrics, and targets within each have evolved to further raise the bar, and we will keep you updated on these on our quarterly calls. Finally, I’d like to touch on some organization updates. I am very pleased that we have been able to attract world-class talent, and I am excited to share that we just welcomed Richard Ward to the company a few weeks ago. Richard joins as our EVP of Global Field Operations, and will have responsibility for all of our Geozone operations. Richard has a deep background in OFS with over 30 years in the industry. We have also announced a couple of other changes to the executive team, with the departures of Chuck Davison and Joe Mongrain. Both of them have made important contributions to the company and set us up well for the journey ahead, and the transition plans will be seamless. We have always asked to be judged by our results, and I hope you will see the intensity of focus on delivering for our customers and investors. Our operating performance has enabled us to reduce our gross debt to $1.7 billion currently, and our net leverage at this point is 0.7 times. It is our expectation to pay-off the secured notes by mid-year, and following that, to provide a capital allocation framework, including shareholder returns. As we enter 2024, Weatherford is a different company, both different from our own past, but also within the sector. With a firm eye on the future, we are well on our way to building a purpose-driven, leaner, and less capital-intensive organization that is focused on technology differentiation and operational excellence. My confidence in our ability to perform and execute is stronger than ever. With that, I’d like to hand it over to Arun.
Arun Mitra: Thank you, Girish. Good morning and thank you everyone for joining us on the call. I will begin with our consolidated results, and then move into our segment results, liquidity, and cash flows. As Girish outlined, we had a very good fourth quarter, to close out a spectacular year. Full year 2023 revenues of $5.14 billion grew 19%, as all segments experienced growth with net income of $417 million. A 1500 plus percent improvement, an adjusted EBITDA of approximately $1.2 billion, or 23.1% adjusted EBITDA margin of 423 basis point improvement. Revenue for the fourth quarter of 2023 was $1.36 billion, an increase of 4% sequentially, and 13% year-over-year. Operating income was $216 million in the fourth quarter of 2023, compared to $218 million in the third quarter of 2023, and $169 million in the fourth quarter of 2022. The operating income was sequentially down, primarily due to restructuring charges taken in Q4 for right-sizing our footprint in certain locations. Net income was $140 million as, compared to $123 million in the third quarter of 2023, and $72 million in the fourth quarter of 2022. Adjusted EBITDA of $321 million in the fourth quarter increased 5% sequentially, and 21% year-over-year, with adjusted EBITDA margin of 23.6%, a sequential improvement of 34 basis points, and year-over-year improvement of 157 basis points. These results were primarily driven by increased activity, share improvement, pricing across all segments, coupled with solid operational execution. I would also like to highlight our performance on the integrated contracts in Oman and Saudi Arabia, which have now fully ramped up and are executing very well. Now moving into our segment results for the fourth quarter of 2023. While drilling and evaluation, or DRE, revenues of $382 million, decreased by $6 million, or 2% sequentially, primarily due to lower activity, for drilling-related services in Latin America, as impacted by weather, partially offset by increased wireline activity, full year revenues increased by 16%. DRE segment adjusted EBITDA of $97 million decreased by $14 million, or 13% sequentially, primarily due to lower activity, and change in mix around drilling-related services. But on a full year basis, DRE adjusted EBITDA margins expanded 308 basis points, reflecting the overall improvement in the operating profile of the segment, with higher activity, cost discipline, and increased traction in the marketplace. Well construction and completion, or WCC, revenues of $480 million increased by $21 million, or 5% sequentially, primarily due to higher activity and completions and cementation products in the Middle East, North Africa, and Asia regions, partially offset by lower activity in North America. WCC segment adjusted EBITDA of $131 million increased by $12 million, or 10% sequentially, primarily due to higher international activity and a favorable change in mix in tubular running services. Production and intervention, or PRI, revenues of $386 million increased by $15 million, or 4% sequentially, primarily due to higher activity in digital solutions and international artificial lift, partially offset by lower activity, for international pressure pumping, and lower activity in North America for artificial lift. PRI segment adjusted EBITDA of $88 million increased by $2 million, or 2% sequentially, primarily due to higher fall-throughs for digital solutions, partially offset by lower international activity for pressure pumping. Turning to cash flows and liquidity. For the full year 2023, operating cash flow was $832 million, up $483 million, compared to 2022. An adjusted free cash flow was $651 million, an increase of $352 million. In the fourth quarter, we generated operating cash of $375 million, up $203 million sequentially. An adjusted free cash flow was $315 million, up $178 million sequentially. A strong performance on the back of strong profitability and heightened collections. During the fourth quarter, we were able to collect an additional $140 million of outstanding receivables, from our largest customer in Mexico. As a result of a financial transaction with a third-party financial institution. We ended 2023 with net working capital at 25.8%, but that number is significantly aided, by the transaction I just referenced. Our journey of improving our net working capital efficiency is far from complete, and we remain optimistic about the opportunities to further improve. In the years to come, our goal is still to achieve a net working capital level of 25% of revenue. And to achieve that, we will continue to drive improvements, efficiencies across billings, collections management, and inventory management, which are key performance drivers. Fourth quarter CapEx was $67 million, or 4.9% of revenue, and full year CapEx of $209 million, or 4.1% of revenue, marked a notable increase in investing for growth. While CapEx still within our range of 3% to 5%. Every dollar of CapEx incurred is rigorously monitored and focused towards providing incremental returns for the business. Our CapEx thesis of 3% to 5% is still valid in this environment, but important to note that it is over a 12 to 18 month rolling window. We closed the fourth quarter, with total cash of approximately $1.06 billion, up $117 million sequentially. We repaid an additional $151 million of 6.5% senior secured notes in January 2024. This brings the total amount of the 6.5% senior secured notes outstanding to $97 million as of the date of the release. Our net leverage ratio of 0.7x at the end of 2023 marks the lowest ever level in the company in over 15 years. And we will continue to address gross debt, to give us more degrees of freedom. I would also like to highlight that our return on invested capital, which is net operating profit after taxes, over total invested capital, stood at 27.2%. This top tier performance provides a clear demonstration of our focus on creating value through our operating paradigm. Finally, during the fourth quarter of 2023, credit rating upgrades from S&P to B+ with a positive outlook and Moody’s to B1 with a positive outlook and Fitch ratings initiating a rating of B+ reflects the tangible improvements we have made in our operating performance and balance sheet. Turning toward full year 2024 outlook, we expect consolidated revenues to grow, by double-digits to low teens, compared to 2023. All segments are expected to grow with DRE forecasted to deliver high-teens, WCC to deliver mid-single-digits and PRI to deliver high single-digits growth. Full year consolidated adjusted EBITDA margins, are expected to make meaningful progress towards a goal of 25%, with a goal of that being the exit rate for the year. We expect - 2024 adjusted free cash flow to be greater than $500 million in spite of higher CapEx, higher cash taxes, and networking capital investment. This represents adjusted free cash flow generation, at the same levels as 2023, adjusted for the one-time acceleration described earlier. CapEx for the full year is expected to be approximately 5% of revenue. For the first quarter 2024, we expect consolidated revenues versus the fourth quarter of 2023, to decline by low single-digits driven by seasonality. Across the segments, DRE revenue, is expected to grow by high single-digits. WCC is expected to decline by mid-single-digits and PRI is expected, to decline by high single-digits. Adjusted EBITDA margins for the first quarter 2024, are expected to expand 25 to 50 basis points versus the fourth quarter ‘23, and expected to expand by greater than 120 bps over first quarter 2023. CapEx is expected to be in the range of $55 million to $70 million and adjusted free cash flow is expected to be positive. Thanks all for joining the call, and operator let’s open up the call for questions please.
Operator: Thank you. [Operator Instructions] And today’s first question comes from Luke Lemoine with Piper Sandler. Please go ahead.
Luke Lemoine: Hi. Good morning.
Girish Saligram: Hi, Luke. Good morning.
Luke Lemoine: Hi. Good morning. Girish, you addressed the elephant in the room with your thoughts on Saudi, during your prepared remarks with how this is unfolding and the mental impact to you and we agree that the future cuts to Aramco CapEx are coming from offshore, Safaniya and Manifa and you hadn’t factored any of this into your multi-year outlook. But could you just refresh us on, which land projects and/or fields you are working on within the kingdom?
Girish Saligram: Yes. So we are working on several different ones without going into hyper specifics. Luke, look, we provide services across the spectrum, as well as provide products. One of the things that is interesting about our business, we also provide products to some of the integrated projects that other service companies run as well. In addition, we have got our specialty services like MPD that we have got a very strong position in Saudi. So, a lot of different ones. Plus look, lastly, we also have our own integrated project that we had talked about in Q4 of 2022. We ramped this up. This is the LSTK project on intervention services. So really across the board, like we mentioned in our prepared remarks, the business is mostly onshore, but we see offshore as a very tangible opportunity and we do work over there today mostly in the form of product sales.
Luke Lemoine: Okay. And maybe just kind of generically within the kingdom, I mean, there’s a decent amount of gas exposure as well for you guys, right?
Girish Saligram: Yes.
Luke Lemoine: Okay. And then you touched on a little bit just kind of, with the integrated projects within Aramco, but just globally, these have been growing fairly substantially. Can you just update us on where these are, what’s to come and how we should think about growth and profitability, within the integrated project business for you guys?
Girish Saligram: Sure, sure. So look, I think a couple of things. We have - got a couple of different models on the integrated projects. First of all, these are not really construction projects. They are really more sort of, what we do in a normal basis, just integrated and fully. Now, some of these we do not provide the rig, and those tend to have a significantly higher profitability, and are significantly accretive. So, we started that in Latin America, in Mexico, for example. And then we have projects where the rigs and other pass-through services are included. So when you have that model, the profitability tends to be lower, but that’s only, because of the pass-through services. The intrinsic profitability of the core services and products that we provide is still very accretive to the company, as a whole. And most significantly, these projects have a very high degree of cash flow conversion, because of the minimal CapEx. They also provide a baseload of absorption, for the company. So, we think of them, as a very positive thing overall. Now, having said all of that, look, it’s not something that we are going to just go nuts on, and take on a lot of these things. We are going to be very careful, like we have been in terms of the projects that we will take through. So today, we have got a decent number of these projects, but really it’s going to be very measured and we will probably do order of magnitude, maybe one, max two additional ones a year, but nothing more than that.
Luke Lemoine: Okay. Got it. Thanks, Girish. Very nice quarter on free cash flow.
Girish Saligram: Thanks, Luke. Appreciate it.
Operator: And our next question today comes from James West at Evercore ISI. Please go ahead.
James West: Hey, good morning, Girish and Arun.
Girish Saligram: Good morning, James.
Arun Mitra: Good morning, James.
James West: So Girish -- Arun -- the debt paydown is now well underway. The balance sheet is in great shape. Free cash flow continues to surprise the upside. And I echo Luke’s comments about a great free cash flow quarter in the fourth quarter. So the shift now in your -- well, I think there’s probably a shift coming in, kind of the strategic priorities for the business. So one is, is that true? And two, is this shift, which I think would be more offensive in nature? What would you define as the characterizations of that shift? Is it some M&A? Is it market share? Is it continue to block and tackling is it internal? What are the main characteristics?
Girish Saligram: Yes. Hi, James. Look, I think a couple of things. First of all, appreciate the comments. The way I would characterize it is the balance sheet is still not at a great position, its still -- but it’s definitely gone from being in pretty dire straits to being in a good position. So, we still have some wood to chop. Our gross debt levels, as everyone knows, are still a tad bit higher than what we would like. So debt will continue, to be a priority with the secured notes being the immediate one, and then continuing to chip away the rest of the debt stack. So that’s still going to be important. Look, as you look at the rest of it, though, you are right, there is a shift, and I think it’s multidimensional, as you have pointed out. As we mentioned in our prepared remarks, once we have the secured notes taken off. There will be a conversation on overall capital allocation, including shareholder returns. We recognize that that is something that is on everyone’s mind. So, we will come back and address that. Investment into the business is always a priority. We have not slowed that down. Look, over the last couple of years, we have continued to increase investment into technology, especially as well as into CapEx. And as Arun pointed out in his remarks, you see some of that evolution flowing. The inorganic nature of our posture will be, I think a little bit more apparent. We have announced three transactions today, one of which we paid for in cash. It was small. The rest -- the other ones predominantly in equity. So, I think there will be a balance of that. But look, we are going to be very careful about M&A. We are not ever going to be a serial acquirer again. I want to make sure that I am very explicit about that. That is not who we are. But we will do it very selectively where it makes sense. And we have got very robust integration plan. So, I think it will really be a combination of those things, investing into the company, continuing to shore up the balance sheet from a reduction of debt, and then really thinking about what are the inorganic opportunities and with what’s left over, how do we create more shareholder value creation.
Arun Mitra: Yes. And James, just to add to that, it is not only the gross debt, it is also the cost of debt. So our cost of debt, which translates into interest coverage, being lower than our peers, is something that we need to keep working on, but completely aligned with just what Girish outlined.
James West: Okay. Makes sense. Thank you for that and thank you for your comments. And then maybe a quick follow-up from me. Some of the conversations we have had in recent months have talked, a bit more about leaning out the operations. You are competitive on with your pricing structure versus your peers. There’s no discounting to win market share anymore, and so -- but your margins are up a lot, and they are chasing a major peer. So curious, though, what opportunities you see on the margin side. I know you highlighted in your prior comments that there’s more room to go here. But could you talk a bit about kind of, what the opportunity set is there for margins?
Girish Saligram: Yes. So, I think there’s a couple of different things, James. So first of all, I will touch upon our big fulfillment initiative. We have made tremendous progress on this, but it’s still one that hasn’t really fully sort of reflected in the results. I am tremendously excited about what we will see, over the course of this year, and then it will really start to deliver in 2025. So, this is a couple of different things. The simplest form of it is facility consolidation, but that’s frankly not the big target here. It’s about strategic sourcing, moving our supply base closer to where our factories are, making sure we have got better cost controls, we have got better sourcing opportunities. So, we think there’s a huge opportunity moving to best cost countries, for example. We have talked about that in the past. So everything from manufacturing, repair and maintenance, sourcing and logistics, we think that’s got a significant role to play in our margin expansion thesis. Second thing, as you think about the company and our history -- as we have gone way up and then come down, the company has a legacy of complexity, just driven by the variety of different acquisitions, all of the different countries we have played, our tax, our legal entity structure, et cetera. So our team has done a fabulous job over the last couple of years of simplifying that, but there’s still some room to go to continue, to further reduce that and simplify the operational flow, reduce manual intervention in a lot of our processes, and essentially get not just margin expansion, but also get velocity, so cycle time improvement, which will help our cash flow conversion.
James West: Got it. Okay. Great, thanks guys.
Girish Saligram: Sure. Thanks, James.
Operator: Thank you. And our next question comes from Ati Modak with Goldman Sachs. Please go ahead.
Ati Modak: Hi. Good morning, guys.
Girish Saligram: Yes. Good morning, Ati.
Ati Modak: You guys spoke about this a little bit, but didn’t really go into detail. So I guess, I will take the option -- opportunity to ask. So with all the notes that you have been able to paydown so far, how are you thinking about the right balance between dividend share purchases? And when should we sort of wait to hear from you?
Arun Mitra: So Ati, our priorities haven’t really changed. As you noticed, we have made meaningful progress in getting to where we need to. We have about $97 million of the senior notes which are still open, and we have to eliminate that before we engage in a shareholder return discussion. And as we have maintained in the past, we expect to be there by the mid of this calendar year. And beyond that, having a framework and discussing specifics of the framework in terms of what shape it takes, the how, what, when is something we will give you guys more clarity on maybe another three to four months later.
Ati Modak: Okay. So…
Girish Saligram: Yes. If I could just add to that. Look, we have said this, I know there is a lot of interest in specifics on this, all the options on the table. Our focus is going to be creating something that is sustainable over the long term and that we have line of sight to. We are not really looking to do something that is just going to get us a quick set of announcement, interest, et cetera. We just want to make sure we are really thinking through not just the long duration of the company, but also on a multi-year basis, on a through cycle basis, to make sure it’s really sustainable.
Ati Modak: Makes sense. And then on the CapEx, you guys mentioned 5% of revenue. Can you provide color on where that CapEx is going to be directed across your service lines for that organic growth component and help us understand the long-term objective in terms of the revenue and margin impact you expect from that?
Girish Saligram: Yes. So, hi, Ati, a couple of things. So typically, our DRE segment tends to be the biggest recipient of CapEx, just given the service nature. We have got a lot of demand for drilling tools. We have got obviously a lot of demand for MPD. And then there is also a fair amount, across the segments of replenishment and maintenance CapEx requirement. The other thing though, that I think is important to point out this year, is we announced a couple of very significant contracts with Petrobras in the offshore space. So these fall into our PRI, because they are intervention services space. So that is a very significant driver. And from an increased standpoint, is probably the most significant increase. So, in terms of the returns, though, Arun talked about our return on invested capital. It is a very, very solid number at this point in time. So our goal is to continue to keep driving that in the upward direction. But look, a big part of the margin expansion that you see is the result of these CapEx investments. Not only are we able to get increased revenue with higher fall throughs, but we are also looking to see how do, we increase the efficiency of our operations with improvements in the technologies that we deploy.
Ati Modak: Great. Thank you.
Girish Saligram: Sure.
Operator: Thank you. And our next question today comes from Jim Rollyson with Raymond James. Please go ahead.
Jim Rollyson: Hi. Good morning, guys, and echo the same thing others have said, which is great quarter and especially on the free cash flow side. But maybe just a little bit picking on 2024, you exited the year with 23.6% EBITDA margins, obviously guiding higher sequentially kind of gets you closer to 24%. And it sounds like as the year progresses, we are going to be inching closer to 25%. How are you thinking about that average progression throughout the year, from a margin perspective? It sounds like we are going to probably end up somewhere north of 24% for the full year this year, as we transition towards that 25% in ‘25. Is that a reasonable read?
Girish Saligram: Yes. Look, north is all kinds of stuff, Jim. So, look. I think a couple of things, one is as Arun pointed out in his prepared remarks we will exit the year. We believe at a 25%. There will be a progression over the course of the year, but it’s not going to be sort of big jumps. It’s probably going to be a little bit smaller increments. And look, it’s not necessarily going to be evenly spaced across the quarters. We have got typically a third quarter that, tends to be a service-oriented quarter if second and fourth quarter they tend to be more mix-driven through products, so there is a little bit more -- like that. So, look I think overall, as we have said. We will see meaningful progress towards the 25%, but you all, we have been very clear that 25%, it’s sort of 25/25. Kind of targets. So that’s where we will expect to land. I think the other thing to point out, as I said in my prepared remarks. Our philosophy has always been, we set a target. We provide a line-of-sight to it, we achieve it. We make sure we are sustainable. And then we raised it up, but we did point out, look, we don’t think that that is necessarily a defining limit. So, we are constantly looking for other ways to raise the bar as well.
Jim Rollyson: Absolutely. And then obviously you clearly detailed, there’s a lot of things going on, that seem to extend beyond well beyond 2025. Switching gears on a follow-up. Obviously, you talked about CapEx and you. Were a little more active on the M&A front this quarter. And it sounds like that could be part of. Opportunistically part of your incremental growth strategy. Just curious as you think about M&A. Pretty strategic in your directive on what you are focused on. But, are they mostly things that you are looking at, mostly on the smaller side, like the transactions you announced today. Are there any larger transactions that you would contemplate as you go-forward in your balance sheet continues to improve?
Arun Mitra: Yes. Look, Jim, we would certainly contemplated the criteria. I don’t really changed, right. So that’s the important thing for us. We are not interested in driving scale for the sake of scale. We want to drive scale for value-creation. That’s the most important thing and we believe that first of all, there has to be a strategic thesis. We have got to do things that will improve the overall margin profile of the company. We will increase our ability to generate cash. So as we do all of that and then we look at our valuation envelope for it to make sense. That’s how we look at it. So, yes, we would certainly entertain larger transactions. We have looked at several. But it’s taken us look since I have been in the company has taken a three and a half years to get to this point, because, we set a pretty high bar and especially given our history I think that’s warranted. We want to make sure that everything that we do on the M&A space is exceedingly well-thought-out and has integration plans that will actually deliver the value that we have committed to.
Jim Rollyson: That’s a great answer thanks Girish.
Girish Saligram: Thanks Jim.
Operator: And our next question today comes from Doug Becker at Capital One. Please go ahead.
Doug Becker: Thank you. So the revenue growth guidance a little bit higher than some of the competitors. I just wanted to get a sense for how much of that was driven. By the acquisitions announced versus, just maybe the smaller base, or some of the unique opportunities that -- that Weatherford has?
Girish Saligram: Yes. Hi, Doug. So that’s why I tried to stress the word small, a couple of times in my prepared remarks. Look -- we have been talking since sort of the late summer last year about double-digit revenue growth. So, it wasn’t overly influenced by our acquisitions. And we have been sort of thinking through this. We have also had some things that have pressured us on the downside. I talked about Russia. We obviously know the situation in North America. So I think, look, in terms of the smaller number, yes, you are right. It’s a smaller base for sure. But for now, a couple of years, we have been clocking up numbers that are in excess on the international side. And I think that’s a combination, again, of the opportunity to grow. So, the portfolio that we have, which is really broad spectrum, full scale services, coupled with these specialty services, give us an opportunity to really increase the value proposition that we can offer customers. And that’s what we really think is driving the growth.
Doug Becker: Got it. And will these primarily be in the DRE segment?
Girish Saligram: So it’s a mix, Doug. So the two wireline technology companies will be in the DRE segment, and Ardyne, which is in decommissioning will be in the PRI segment.
Doug Becker: Okay. And then just real quickly on the net working capital, the 25.8% this year benefited from the financial transaction you highlighted. Just -- maybe, just what was the normalized net working capital there, and what’s a reasonable target for this year as the company is moving toward that 25% of revenue over time?
Arun Mitra: Hi, Doug. And this is something I have maintained, the idea is to keep improving the metrics. So while we were helped by this transaction at year end, we did make meaningful progress on a few of these metrics this year, even if I were to carve out the year end transaction. So, the idea is to improve on a normalized basis, at least 100 basis points every year, and with the long-term goal being on a sustainable 25% investment in working capital in the next couple of years.
Doug Becker: Thanks, Arun. Thank you very much.
Arun Mitra: Sure, Doug.
Operator: Thank you. And our next question today comes from Saurabh Pant with Bank of America. Please go ahead.
Saurabh Pant: Hi, Girish, Arun. Good morning.
Girish Saligram: Good morning.
Saurabh Pant: I guess, if we can spend a little time on offshore, Girish, if you don’t mind. I know, I think you said in your prepared remarks, Gulf of Mexico revenues for you grew, I think you said, more than 25% in 2023. I know, Girish, you haven’t given specifics on your offshore exposure, but to the extent you can talk about that opportunity, for you over the next couple of years, or maybe more than a couple of years, elaborate on that a little bit. And maybe give us a little more color, on TRS and MPD from that perspective?
Girish Saligram: Sure. Saurabh, I think, look, it continues to be a really exciting space. We traditionally talk about MPD and TRS first when we talk about offshore. But there’s several other things that contribute to our offshore exposure. First of all, there’s intervention services. We do a lot there. These two contracts I talked about with Petrobras, for example, again, part of our PRI segment. And we do a lot of more conventional intervention services across the board. A lot of work around now decommissioning and plug-in abandonment. So, we think that will be an area of tremendous growth for us, both in the Gulf of Mexico, as well as in the North Sea. So, we think that’s a huge opportunity. We also provide significant amount of product sales into this, some of our cementing products, some completion. So that’s an area especially on the completion side, as we look to expand our presence and get more penetration. At the same time, I would be remiss if I didn’t point out, we do a lot of other activity, including drilling. We have talked about our wins in the Gulf of Thailand, which is a high temperature basin, where we do drilling services for PTTEP. We also do that in the North Sea for different operators. So it’s a fairly broad spectrum set of offerings. Look, on the MPD side, I am tremendously excited about Modus. This is the platform that we launched. As we get more packages and we scale up, it will actually give us an opportunity to get into the jackup market. So that’s something that we are looking forward to. So all of that to say, look, bottom line, is we still see offshore as a significant area of growth for us. And given the traction that the industry as a whole has, we think we will be able to do more with that. The U.S. Gulf of Mexico, yes, grew significantly last year. I said in my prepared remarks that, this year we expect that to be a bit more stable. But some of the other offshore basins, represent significant growth for us, Brazil, West Africa, Asia, North Sea, et cetera.
Saurabh Pant: Right, right. Okay. No. That’s very helpful, Girish. And then one maybe unrelated follow-up on the ISP or integrated services and products business. So obviously, I think, Arun, you talked about in your prepared remarks on the Oman and Saudi integrated contracts fully ramping up and doing really well, and I think you got maybe one in Mexico as well. How should we think about that business relative to your overall growth? Girish, I know you talked about maybe picking up one or at most two contracts like that a year. How should we think about that growing relative to the business overall? Does it grow faster than your overall business? And then just in terms of accounting, how you report some numbers, I got a few people asking me on the all other line, Arun, if you can give us a little color on what goes into that within ISP, and what goes into the main operating segments?
Arun Mitra: Sure. So Saurabh, the ISP business is -- we report ISP in two categories, ones which are product line related, make its way into the segments, and the one which is predominantly purchase, resale and project management is the part that gets reported in all other. And that component is what kind of is dilutive to our overall margins, as Girish outlined. But having said all of that, it is also, from a CCC standpoint, accretive because of no CapEx and lower inventories. So in terms of growth, I would almost consider the same growth as you consider for the enterprise, or the ISP other segment. And it’s not big enough for us to report as a separate segment. So once it does, you will get transparency about that. But we don’t see it happening in ‘24 at least.
Girish Saligram: Yes and looks for the first part of your question, what I would say is. These ISP projects for us will be set, really when they happen. They will create an accelerant to growth. We have not really factored into our projections. Anything significant that would happen as a one-off that would give us an added pull up to the growth. So if that happens, obviously, we will we will come back, we will announce that and an outline that like we did in 2022, when we got these two - awards. So, but look. I think -- our whole thesis has always been, make sure we win these like with everything else run it stabilize around it. And the team has done an outstanding job of execution, which gives us the confidence -- to look to see what else we can do.
Saurabh Pant: No. That’s fantastic. Okay, Girish, don’t. Thanks for those answers. I will turn it back.
Girish Saligram: Thanks, Saurabh.
Operator: Thank you. And our next question comes from Kurt Hallead with Benchmark. Please go ahead.
Kurt Hallead: Hi. Good morning.
Girish Saligram: Hi, Kurt.
Arun Mitra: Good morning, Kurt.
Kurt Hallead: Thanks for all the color this morning. So Girish, first on your end, right? You referenced that there’s something like 100 large projects and a number of smaller projects that are expected to be up for FID over the course of the next three years that would then provide some visibility for revenue growth out through the end of the decade. So again, not looking for specifics here, but maybe in the context of that total addressable market, when you look at the different regions in which you report your operations, which regions do you think would offer the highest growth? And how would you kind of rank the regions in terms of, again, whatever risk adjustment you mentally want to put into the process of what may happen or what may not happen, I am just curious as to what regions do you think will offer the biggest growth opportunities for you through the end of the decade.
Girish Saligram: Yes, Kurt. Look, I think our overall thesis on this remains reasonably intact. I will start with look, head and shoulders, we think the Middle East continues to be the one that spearheads the growth, sort of the broader Middle East. And it’s really sort of secular. It’s countries like the Kingdom of Saudi Arabia, it’s UAE, Oman, Kuwait, et cetera, including North Africa, right? So you have got Egypt that continues to be a really interesting opportunity, several other projects, et cetera. The one maybe question mark on the Middle East is Iraq, just given some of the challenges there. But in the long term, we expect that to be positive as well. The second one is Latin America. And look, in Latin America, Brazil is sort of leading the way but Mexico is pretty strong as well, both PEMEX as well as all of the other operators that are -- that have got activity in Mexico. And then there is, I think, a little bit of a question mark as we see how Argentina fares over the course of the year, hopefully comes out to be a very big positive. And actually, over the next four to five years becomes a big boost to growth. And then look, the last piece of it, I would say, sub-Saharan Africa. There’s always a higher degree of risk to some of the projects there, but we see that both on the East and West Africa side to be a fairly positive signal. So look, multiple different areas but we have also got growth in Asia. We have got growth even in North America. So I really think for the next few years, we have got a positive outlook.
Kurt Hallead: I appreciate that. And I just wanted to circle back on the commentary about expect CapEx to average 5% of sales on a full year basis. And I think that dovetails with what you mentioned in terms of contract wins and satisfying those contracts. But in a certain extent, if there is anyone who might get a little bit nervous, it’s always when oil service companies start to increase CapEx. So I was just wondering if you could give you an opportunity here to kind of address that in the context that I am assuming you are not ramping CapEx in anticipation of things, you are ramping CapEx to address specific contract awards.
Girish Saligram: Yes. Kurt, I appreciate the question. We have been very clear about this. And we have spent a lot of time thinking through our 3% to 5% framework, doing a lot of analysis on it. And we have stuck to that now for a while. This is down significantly from what used to be the normal, 7% in an up cycle, 10% to sometimes 12%. So it’s already significantly curtailed. But the way we look at CapEx is we are not sort of following this philosophy of build it and they will come. It is very project-specific. It’s where we have got line of sight and a clear view on potential contingency plans on redeployment, et cetera. And as we have stated on these calls multiple times, look, we are actually reasonably comfortable if we miss out on some of the opportunities that we could have had if we had built more CapEx because we want to make sure we have got the right capital model, the right capital intensity on a through-cycle basis because we are in a cyclical industry. So we are very, very careful about that. And I think you see that reflected in our return on invested capital metric that Arun referenced.
Kurt Hallead: Appreciate that. Thank you.
Girish Saligram: Thanks Kurt.
Operator: Thank you. And ladies and gentlemen, this concludes our question-and-answer session. I’d like to turn the conference back over to the management team for any closing remarks.
Girish Saligram: Great. Thanks, Rocco. Thank you all for joining today, and we look forward to joining you again in about a few weeks’ time to give you an update on the Q1 results. Thank you, and have a great day.
Arun Mitra: Thank you.
Operator: Thank you, everyone. This concludes today’s conference call. We thank you all for attending today’s presentation. You may now disconnect your lines, and have a wonderful day.